Operator: Thank you for standing by. My name is Prilla, and I will be your conference operator today. At this time I would like to welcome everyone to the New Jersey Resources Fiscal 2025 First Quarter Conference Call. For those of you listening on the live call, all participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. Thank you. I would now like to introduce your speaker for today Adam Prior, Director of Investor Relations. You may begin.
Adam Prior: Thank you. Welcome to New Jersey Resources Fiscal 2025 first quarter conference call and webcast. I'm joined here today by Steve Westhoven, our President and CEO; Roberto Bel, our Senior Vice President and Chief Financial Officer; as well as other members of our senior management team. Certain statements in today's call contain estimates and other forward-looking statements within the meaning of the securities laws. We wish to caution listeners of this call that the current expectations, assumptions and beliefs forming the basis of our forward-looking statements include many factors that are beyond our ability to control or estimate precisely. This could cause results to materially differ from our expectations as found on Slide 2. These items can also be found in the forward-looking statements section of yesterday's earnings release furnished on Form 8-K and in our most recent Forms 10-K and 10-Q as filed with the SEC. We do not, by including this statement, assume any obligation to review or revise any particular forward-looking statement referenced herein in light of future events. We'll also be referring to certain non-GAAP financial measures such as net financial earnings or NFE. We believe that NFE, net financial loss, utility gross margin, financial margin, adjusted funds from operations, and adjusted debt provide a more complete understanding of our financial performance. However, these non-GAAP measures are not intended to be a substitute for GAAP. Our non-GAAP financial measures are discussed more fully in Item 7 of our 10-K. The slides accompanying today's presentation are available on our website and were furnished on our Form 8-K filed yesterday. Steve will begin with this quarter's highlights beginning on Slide 4, followed by Roberto, who will review our financial results. Then we will open the call for your questions. With that said, I will turn the call over to our President and CEO, Steve Westhoven. Please go ahead, Steve.
Steve Westhoven: Thanks Adam and good morning everyone. Fiscal 2025 is off to a strong start. During the first quarter we continued to execute on our strategic initiatives driving growth across our business segments. At New Jersey Natural Gas, we achieved a significant milestone with the implementation of new rates following the approval of our base rate case. This was supportive of our ability to recover the $850 million of investments made since our last rate case and results in a rate base of $3.2 billion. We launched the next iteration of SAVEGREEN, our $386 million energy efficiency program, which is the largest in New Jersey natural gas history and runs through June of 2027. Investments in SAVEGREEN are incremental to our rate case and earn a near real-time return to a rider that is updated annually. Clean Energy Ventures continues to advance its commercial solar strategy with a project pipeline of over 1 gigawatt, we remain well positioned to drive growth. At Storage and Transportation, we continue to move forward on our capacity recovery project at Leaf River and Adelphia Gateway Section 4 rate case is progressing with an expected resolution later this year. And finally, at Energy Services, we continue to derive significant value from our portfolio of strategically located storage and transportation assets, as well as continued contribution from the asset management agreements announced in 2020. These achievements reinforce our commitment to delivering shareholder value through disciplined capital allocation. As we review our strong first quarter performance, it's clear that NJR is not only delivering on its commitments but is strategically positioned to capitalize on emerging growth opportunities. Now let's turn to our guidance for fiscal 2025 on Slide 5. This reflects the strength of our diversified portfolio and our ability to navigate current opportunities and long-term objectives. Our fiscal 2025 NFEPS guidance is $3.05 a share to $3.20 per share which exceeds our long-term growth rate of 79% and incorporates the onetime gain from our sale of our residential solar portfolio. We are encouraged by the recent operating performance across all of our businesses and we will carefully monitor and assess our financial outlook as we move forward through the winter season. On Slide 6, we break out our fiscal year 2025 NFEPS by segment. We slightly narrowed the contribution ranges of our business units in the first quarter and will continue to do so as the year progresses. The majority of our NFEPS is expected to come from our utility operations. Now let's discuss our complementary business units starting with New Jersey Natural Gas on Slide 7. During the quarter, we invested $127 million in New Jersey Natural Gas with 43% of that CapEx providing near real-time returns. We are leveraging investments to enhance reliability and drive consistent customer growth through our new construction and conversions as well as expansion into new locations. Moving to Slide 8, at Clean Energy Ventures, we successfully placed approximately 11 megawatts of commercial solar projects into service during the period with an additional 63 megawatts currently under construction. Looking ahead, we are well positioned to continue growing our capacity by leveraging a robust and steadily expanding project pipeline of over 1 gigawatt. Furthermore, the sale of our residential solar portfolio enhances our balance sheet and recycles capital to support the future growth opportunities. Moving to Slide 9, our Storage and Transportation business continues to deliver stable returns through fee-based revenues. Our infrastructure investments, including pipelines and storage facilities are strategically positioned to serve constrained energy markets. Adelphia Gateway continues to work through its FERC rate case, which reflects the investments made to enhance and modernize our pipeline system. We anticipate the conclusion to the process later in 2025. We are also actively advancing our capacity recovery project at Leaf River, focusing on restoring and enhancing storage capabilities to meet growing energy demand. Overall, we have made excellent progress throughout the quarter on several fronts. With that, I'll turn the call over to Roberto for a review of the financial results. Roberto?
Roberto Bel: Thank you, Steve, and good morning, everyone. As noted earlier, fiscal 2025 is off to a good start. In the first quarter, we reported NFEPS of $1.29 per share compared with NFEPS of $0.74 per share last year. NJNG reported higher NFE as a result of new rates being in place on November 21st following the successful conclusion of our rate base and Clean Energy Ventures reported higher NFE as a result of the sale of our residential solar portfolio. Our Storage and Transportation and Energy Services businesses also delivered higher NFE compared to the prior year period. Now let’s move to Slide 12, where we will discuss in your capital plan. For fiscal 2025 and fiscal 2026 for planning capital expenditures ranging from $1.3 billion to $1.6 billion, which aligns with our long-term NFEPS growth target of 7% to 9%. We did not make any changes to our capital plan compared to our prior disclosure and continue to expect spending between $610 million and $790 million in capital investments during fiscal 2025. Over the next several years, we expect to employ capital to enhance our utility infrastructure, expand our Clean Energy portfolio and optimize our Storage and Transportation assets. As highlighted on Slide 13, our strong balance sheet and liquidity position enable us to execute on our strategic priorities, while maintaining financial flexibility. Our adjusted funds from operations adjusted debt ratio is projected to range between 18% and 20% for fiscal 2025, which reflect our ability to generate solid operating cash flows and manage that effectively. These levels are consistent with maintaining our investment-grade credit rating at NJNG and a strong balance sheet at NJR. We expect our cash flow from operations to be between $460 million and $500 million in fiscal 2025, providing a solid foundation for our capital plan, dividends and other corporate needs. In summary, our first quarter performance reflects the strength of our diversified portfolio and disciplined financial strategy. We remain on track to deliver on our long-term growth objectives supported by a solid balance sheet and steady cash flows. With that, I'll turn the call back to Steve for a discussion on our decarbonization initiatives on Slide 14.
Steve Westhoven: Thanks, Roberto. Last month, we issued NJR's fiscal 2024 Corporate Sustainability Report. This reflects our commitment to transparency with our stakeholders in the evolving energy landscape. In the report, we detailed our leadership and accomplishments in emissions reduction and renewable energy, as well as our long-term vision for the role of existing pipeline infrastructure. Our sustainability initiatives remain business driven as highlighted by notable achievements such as record investments in energy efficiency and the advancement of new innovations such as carbon capture. During the year, New Jersey Natural Gas became the first natural gas utility in New Jersey to install and operate distributed carbon capture technology at our headquarters and we are also fueling a portion of our fleet operations with renewable diesel. This work underscores our leadership in driving a more sustainable energy future and our commitment to pursuing innovative, reliable clean energy solutions. To conclude, NJR is well positioned for sustained long-term growth across our diversified businesses as we highlight on the next slide. NJR's diversified business model supports an industry leading long-term NFEPS growth rate of 7% to 9%. Key drivers include continued customer growth at New Jersey Natural Gas, solar investments at CEV and enhanced asset utilization at Leaf River and the Adelphia Gateway. As we progress through the winter season, we are pleased with the strong operating performance across all of our businesses. Our results highlight the resilience of our fiscal infrastructure and equally important, the talent and dedication of our team. I’d like to recognize and thank our employees for all their hard work. And with that, let’s open up the call for questions.
Operator: All right. Thank you and we will now begin the question-and-answer session. [Operator Instructions] One moment please for your first question. And the first question comes from the line of Shar Pourreza with Guggenheim Securities. Please go ahead.
Shar Pourreza: Hey guys, good morning.
Steve Westhoven: Hey Shar.
Roberto Bel: Good morning, Shar.
Shar Pourreza: Good morning. I just want to get a sense on how you feel about the guide for 2025 the $283 million that’s out there. If we strip out that gain from the residential sale, add back a couple of pennies from lost earnings, we get to about $0.92 for Q1 on a more recurring basis, which you know is slightly below expectations. I guess, how are you trending within the EPS range you have out there for 2025? I know winter matters a lot and you highlighted you’re going to be monitoring it, but just curious how you’re trending for 2025? Thanks.
Roberto Bel: Sure. This is Roberto. So we have our guidance out there, $305 million to $320 million. We’re not changing that at this point in time.
Shar Pourreza: Understood. But any sense, Roberto, on how you’re trending within that range?
Roberto Bel: We’re well in our range. That’s all I can tell you right now.
Shar Pourreza: Okay. That’s perfect. And then just on CEV, I mean obviously good growth, you’re seeing slightly larger opportunities outside your footprint versus a year ago. I guess, what’s driving that? Should we assume more of that mix will continue to shift outside of New Jersey? And any sense on whether any of the uncertainties around maybe IRI are impacting the discussions, especially as we think about the pull forward of demand?
Steve Westhoven: Yes. Shar, we've purposely have diversified that portfolio, and that strategy has been in place for many years and really focused on jurisdictions that are friendly towards solar and supportive the solar landscape. So that is basically – when you look at the portfolio, we've got 11 megawatts in service. You got 63 megawatts under construction. You got about 1 gigawatt in our project pipeline. So robust and certainly quite a bit of investment more than we need for what we projected as CapEx over the next few years. As far as kind of the IRA currently based on our past Safe Harbor provisions, we don't see any impacts in the near-term project pipeline as we move forward. So it's really business as usual, and all the metrics that you referenced supporting the business. So we're in a good place.
Shar Pourreza: Fantastic. Thanks guys appreciated.
Steve Westhoven: All right. Thanks, Shahriar.
Operator: And your next question comes from the line of Richard Sunderland with JPMorgan. Please go ahead.
Richard Sunderland: Hi good morning. Thanks for the time today.
Steve Westhoven: Hi, Rich.
Richard Sunderland: Maybe starting on winter and Energy Services. Any color on the market opportunities for Energy Services upside during last month's cold snaps I don't know if there's any way to frame this on an order of magnitude basis versus what you're able to realize last year. Just any thoughts there. Thank you.
Steve Westhoven: Yes. The weather was constructive across all of our businesses, not only energy services, but just all of our infrastructure business really shows the value of existing infrastructure and these peak periods of need. As the market grows, we just see our infrastructure becoming more valuable and certainly the ability to organically expand that as a key driver for our business. As far as how to think about that and reference the event that happened, we’ve got quite a bit of winter left. And as we look forward to the next quarter, we’ll update the market as appropriate. And that’s about all that we’ll say at this point in time.
Richard Sunderland: Understood. Well, thank you for the color there. And then turning to the Adelphia rate case process, I realize it’s early, but are there any key dates in the procedural schedule we should watch for? I guess I’m curious what the typical settlement window is?
Steve Westhoven: Yes. It’s a typical rate case. It’s really just verifying quite a bit of money that we spent during the initial construction, which was several years ago. So regular section for the rate case and we said we expect this to proceed forward and be settled sometime in 2025, so we haven’t changed from any of that. So that’s about all the color that we can give right now since we’re in the regulatory proceeding.
Richard Sunderland: Great, thank you. I’ll leave it there.
Steve Westhoven: All right. Thanks, Rich.
Operator: And your next question comes from the line of Gabe Moreen with Mizuho. Please go ahead.
Gabe Moreen: Good morning, everyone. If I could just ask a question on CEV CapEx relative to what you spent year-to-date in the target range. Was this kind of what you intended, I guess, to spend and we should expect maybe a potential acceleration to kind of get you to the midpoint of the range? Or is there still just, I guess, uncertainty around the timing and spend as to whether you’re going to get to that midpoint of the CapEx range for CEV this year?
Roberto Bel: Yes, so – this is Roberto, Gabe. So for this year, you see what our guidance range for CapEx for CEV is out there. This is higher than what we did last year. So from that perspective, yes, you can consider that an acceleration, but we expect to be well within our guidance range for the year, as stated in our presentation.
Gabe Moreen: Thanks Roberto. And I know, I think we asked about this last quarter about a potential follow on to the IIP. Any additional thoughts as far as renewing the IIP, now that the rate case is in the review?
Pat Migliaccio: Again, it's Pat Migliaccio. Thanks for the question. Just as a reminder, we do have the current IIP that has spending forecasted through fiscal year 2025 that'll close out with rates effective in 2026. We had a really constructive energy efficiency filing, record level of approved investment of $386 million that ramps up over time. As far as a successor or follow-on IIP, we'll evaluate that and update you when we have something to report.
Gabe Moreen: Thanks Pat. Appreciate it.
Pat Migliaccio: All right, thanks, Gabe.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Travis Miller with Morningstar. Please go ahead.
Travis Miller: Good morning. Thank you.
Steve Westhoven: Hey Travis.
Travis Miller: I think Richard asked my question on the January operations of your midstream business, so look forward to hearing about that next quarter. But SAVEGREEN wondering if you could remind us to the regulatory treatment. Was any of that included in the rate case? And then if not, what's the recovery of the capital side of that program?
Pat Migliaccio: Hey Travis. Pat Migliaccio. So SAVEGREEN spend is not included in our base rate case filings. It is a separate filing that operates a little like our infrastructure riders. So we recover annual investment each year as we make that investment. So, when we consider our complexion of our capital investment, that's as near to real time recovery as we could possibly get.
Travis Miller: Okay, perfect. And then a broader question since someone asked about yes, tariffs. Is that going to have any impact either on getting the equipment that you need to execute the capital investment program or even more directly, possibly on the solar build-out?
Steve Westhoven: Hey, Travis, this is Steve. We talked about, just general impacts from before. At this point in time, due to the construct of our business and safe harbor provisions and things like that. We don't expect any impacts from what's going on out in the, I guess, the regulatory growth.
Travis Miller: Okay. And no impact on just your regular need for equipment or supplies and stuff like that for your utility operations, aside from the solar stuff?
Steve Westhoven: No, I don't think there's anything that, is significant at this point in time. When you look at our overall makeup, especially if you look at the utility, most of its labor, so, materials is a smaller portion of it. And yes, I would expect that, any issues we'd have would be kind of quickly work through. So not seeing it as a big issue, going to be fluid. We'll monitor this as it moves forward, but we have no expectation of any impacts at this point in time.
Travis Miller: Okay, great. Thanks so much.
Steve Westhoven: All right. Thanks, Travis.
Operator: All right, thank you. And I'm showing no further questions at this time. I would like to turn it back to Adam Prior for closing remarks.
Adam Prior: Thanks so much. And thanks to all of you for joining us. As always, we appreciate your investment and interest in NJR, and have a good rest of your day. Thanks again.
Operator: Thank you. And this concludes today's conference call. You may now disconnect.